Operator: Good morning. My name is Tony, and I will be your conference operator today. At this time, I would like to welcome everyone to the Tupperware Brands Corporation First Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. (Operator Instructions). Thank you. Rick Goings, Chairman and CEO, you may begin your conference.
Rick Goings: Thank you, Tony. Hi everybody. I am in Hemingway South Carolina at our 1.5 million foot manufacturing and distribution facility. I am here today with Keith Haggerty, our VP of Supply Chain for the Americas. And I have asked Keith to talk a little bit about our supply chain in our business it's a source of competitive advantage and I think it helps for you to have a better understanding of that. As always, Mike Poteshman, our CFO; and Teresa Burchfield, our Head of IR are in Orlando. And I might say that there is any disruption with regard to this kind of a remote area South Carolina with regard to phone lines Mike, you pick it up on that end, okay. Also, Slide 2, you see and I am going to be bringing some slides for review, you should have those online. As usual, this discussion is going to involve forward outlook of business, so I would remind you, you know the running rules on that. I'm going to try not to be redundant as always with what's included in our release. And I'll try to keep our comments as brief as possible only covering what we think is most important, so we can spend the time on Q&A. Sales came in, in the quarter, if you're looking at Slide 3 at the high-end of our guidance range of 7%. As usual, in a global portfolio we have pluses and minuses and some looking us they start to see that our businesses of our markets we have improved sequentially in a number of our markets. And even more encouragingly, some of our business units have moved to the plus side that's always good to see. However, at the same time, there is with puts and calls, we have had some that were plus that are now starting to feel the challenges. Particularly, yes you have issues when you have markets that are growing very high double-digit lapping those kinds of comparisons. Now, there is always going to be the effect of this macroeconomic environment in our business and internal challenges to overcome. But we really think the major benefit of having our global portfolio is that, in spite of whatever is going on out there, you've got enough puts and calls to balance and still deliver some kind of consistent performance. And that's the way Mike, I, and the management team have really been putting together this company and growing it and managing it. The essence is our emerging markets were up double-digit, 14% in the quarter and up to 64% of our sales mix. The established markets were down 4%. We were pleased to see that this was an improvement sequentially over the past couple of quarters. In Slide 4, you see the balance between the segments Asia Pacific about 30%, Europe about a 3%, and the Americas 38% of Q1 sales. I would remind you looking forward we expect to see the contribution of Asia Pacific continue to grow, that's where the bulk of the world's population as you will start to see that's where more and more of our sales force will be. So it will be representative of that. We ended the quarter with a expanded sales force up 6% over the prior year and that was a nice improvement over the past several quarters and you can see that on Slide 5. We were up on all the segments here both versus prior year as well as where we ended in the fourth quarter, excluding Beauty North America, and we will talk more about that. On Slide 6, regarding the average active sales force comparison it was down 2%, which was in line where we were in the fourth quarter over comparing active sales force to our 7% sales force increase six of the nine point difference was from a mix shift and where we got our sales. The remaining three points was primarily related to productivity increases in individual markets and I might add that inflation related price increases in South America, particularly in Venezuela and Argentina segment, resulted in higher sales in those business units, however, in China, we don't operate with the same traditional sales force, so that can distort it. Mike can just drill down on this when we go to the Q&A session, but net-net we were pleased with the positive development of the top-line of the sales force. Turning to Slide 7 and drilling down on some of the individual units side again, I don't want to be redundant, but Indonesia, our largest unit in the world continued very strongly was up 25% in the quarter and again it's lapping double-digit increases in the prior year. If you look at the underlying key performance indicators, which we do that's what we monitor on a weekly basis the sales force size, activity, the number of people and leadership levels, they were all strong and supported this kind of sales growth. So we would say the growth that we saw in Indonesia was really high quality. This is a well-run business and it's the fourth largest country in the world by population. Next turning to China, we also had another tremendous quarter of growth. You will recall we run a hybrid model here where because of small apartments and neighborhoods, we have outlets in the neighborhood and so what happens is often people gather in these outlets for cooking classes. So in essence it's you might even call it the Chinese version of a Tupperware party. We now have 4300 of these outlets and sales were up in China, 30% in the quarter. So good news there and I continue to hear when I'm on Analyst Meetings or doing one-on-one; concerned about China's slowing economy, but we move right through that. And I think that says lot of our entrepreneurial opportunity and the love of the brand name, which is now rated as the super brand in China. Also, well on Asia, I'm on pleased to report that both of our Japanese units, Tupperware and NaturCare, were both up in the quarter. And we do acknowledge though consumers who kind of spurred to increase their purchases because there was going to be a higher sales tax that began April 1, and so we saw a little dash to that in later part of the quarter. Malaysia/Singapore struggled during the quarter, particularly in the early part of the quarter. However, they came back to sales rolling down 4% for the full quarter in local currency. It was driven by really a couple of things, the primary obstacles in our way were drought in the central part of the country and the announcement of an additional tax by the government in 2015 to kind of worked counter to what happened to us in Japan. We've got a good business there, great leadership team and I think it will be steadier she goes and you will see more growth there on the future. India was not such a good story in the quarter, we were down 14%. We continue to work with our distributors there to strengthen the standards of particularly the entry level sales managers in the business. They are the people that do most of the recruiting in our business. What exacerbated this past 18 months by devaluation and compression and consumer spending, but however most of it was our fault, when you peel back the layers, last year we saw higher turnover at those levels and I think it's really a factor, and I think the management team is all over it. Meeting these new managers coming into the business, higher number of them, and better training for them, and more support for the newly reported managers. So again these are the primary recruiters. We put these actions in place; I think they've identified what the issues are. The market holds tremendous potential. We over the past seven years had dramatic growth in India and I look forward to getting back on this double-digit growth case sooner rather than later. But I think it's going to take us a couple of quarters to work through this. Moving on to Europe, star again was Turkey. In the midst of all this political and economic challenges that are going on they were up 19% in the quarter. Also was pleased to see in this portfolio both South African businesses Tupperware and Avroy Shlain was happy to see them to grow in the teens in the quarter and you remember in Tupperware a few years back we had some issues with counterfeiting, put some things that we needed to contemporize and focus on and we are really starting to see the benefits of those kinds of actions. And we're trying to become better as a company always anticipating when we start to see things on the horizon that's why we, Simon and the management team have an Executive Committee every Monday morning, we go over what happened the previous week, what are the key productivity indicators and our whole goal is there is to indentify changes in trends even when they're very small so that we can anticipate them and take the remedial actions sooner before you lose momentum in the business. Turning to Germany, speaking of momentum, I was happy to see momentum return. We were still down modestly in the quarter low-single-digit. But we had 11% sequential improvement over the fourth quarter. They were down in the fourth quarter of 14%. They continue to build on their sales force advantage and now they've ended the quarter up with a mid-single-digit sales force guys advantage now, our focus is really getting these new recruits active and productive in the business. Next door neighbor, France, through Germany struggled at the start of the quarter. There is a lot of pressure on consumer spending there and government is trying to figure out what to do and consumers they've been turning toward our opportunity so we've been building our sales force but consumers really kind of rejected our January hostess gift. Hostesses are the key to our party business. She invites people over to her flat, her house, and as a result we don't have to spend money on advertising or retail rent and that gives us a decided advantage. But they really rejected the hostess gift in January; sales were down in January in France 19%. The good news is they got better in the quarter, the February and March were better. So we ended the overall quarter 6% down. So we don't really have any fundamental concerns about the French business, it's well run, have a solid distributor organization but we've got to simply get better at anticipating even issues like is it the right kind of a hostess gift. Now, on anticipation, something that's on the top of mind of many people is the CIS in Russia. Let me take a few minutes to update you on what we're seeing at our business there. First, let me put out of the way, the Ukraine, it's really only 7% of our total CIS business. So we've seen minimum impact there from what's going on in the rest of the market there. I am pleased that while the CIS was down significantly in the fourth quarter 30%, we saw some improvement. We almost have that decline to 18% in the quarter. The key challenge now is we've got to rebuild the sales force size and activate them more effectively. Additionally I think we're down to a point of focusing on fewer things in that market, but we got to shift that business. So we are less reliant on promotions, which is really been a key to their success the last couple of years since the valuation of the Ruble. And I've got to say, I suspect, none of us had this on our planning schedules last year what's going on now with Russia with regard to their moving into the other territories of the former Soviet Union. I suspected it's going to take us some time to work through this in the CIS. Obviously, this tension over there with the west particularly is unsettling. And I tell you what it really serves as, it's a distraction. We saw in our industry the same kind of distraction during the Gulf War in the early 30s, when for the first time ever war was available on television in the evening and was harder to get people active. So it's a bit of a distraction now but we work through these things. I look back at our business in Egypt; we were up a 100% the week after the revolution. So it's resilience. And it -- because people -- our people are local patriots in their country and she still got to earn a living, so we have good leverage to press. Speaking of disruption let me turn to South America and Venezuela. We, yes we were up a 100% in the quarter and yes we even had volume increases in the quarter but most of this increase really was from pricing. As you know, we updated our monthly currency update. We are taking 42% devaluation for the remainder of the year. Mike will go through this. But even excluding Venezuela, the America, South America was up 20% in the quarter. Largely driven by our business in Brazil, very much like Indonesia is lapping very strong double-digit last year, but we're still up 23% in this quarter and most of that, I was pleased to say coming from volume. Our Argentine business also continues to grow that was largely when we did this Sara Lee acquisition that was a beauty company, it was 100% beauty. Now, we are dealing with prices driven by higher inflation. And I'm pleased to see that it's also being impacted, because now our sales force is selling higher price point Tupperware product as a matter of fact. In this very short period of time, 70% of our sales in Argentina are now from Tupperware, where we're much more easier to differentiate than in beauty. I would was just there a week before last and I was pleased to see the continuing shift, it says a lot of our business future there. And I also took time there, met with one of their senior economist, a former finance minister, the former administration. And while critical of their current administration, there will be a change this next year. And I feel good about some of the underlying microeconomic levers for Argentina in the future. Turning to North America. The Tupperware North America, Mexico was up 12% that included 6% B2B. We do wonderful business with a larger firm called Siriano that uses Tupperware for customer loyalty programs and in each one of these things there is a bounce back coupon to Tupperware, which causes people who want to complete their set. So it really is a wonderful way of one channel helping another channel of our business and a bounce back to come do a Tupperware party. Our Tupperware U.S. and Canadian businesses were down 8% in the quarter. Now, we estimate about half of this negative came from party cancellations due to severe weather. And so we're focused heavily on how to activate the sales force here and but it was still the difficult quarter. And I also want to kind of say that we've got some work to do had a meeting with management Simon and I with the senior management of the U.S. and we've been working on for last couple months. We believe that in North America, we've got some work to do on our overall North American business model and we will keep you in a loop on this. Frankly, when we shifted our sales force structures some years ago, it was for the right reasons but we're seeing some what I would call unintended negative consequences and we're going to have to address them and that may cause some lumpy performance over the next couple of years, but it's simply two important market for us with regard to the size of the consumer marketplace, the love of our brand here, and the entrepreneurial spirit. So I want to see going forward before I leave this U.S. and North American business be a much higher percentage, even though it's only 5% of the world's population, it ought to be bigger for us. So we're going to put extra attention. Now, turning to Beauty North America sales on our Fuller business while down in the quarter 9% they were sequentially better we have improved from the 11% in the fourth quarter and we began to achieve better activity and productivity from our sales force. And I have got to say we just had this past week the biggest week that business has had in several years. I believe and I'm down there with Simon every other month, we were working on the right kinds of things, we were beginning to fill the sales force management gap positions that we have and working on increasing the retention level of these sales managers. So and I think at the same time we're capturing better activity in order numbers and we're seeing improvement there. So positive drumbeats I believe looking forward and while you heard me say I have concern for the CIS moving forward this year, on the opposite when I'm thinking about the Fuller business, we've got a lot of work to do, very competitive environment in Mexico incredible competition and wild pricing discounts by competitors. But we're navigating through now; I think we're going to have a good year there. BeautiControl struggled again in the quarter, new management team seems to be doing a good job, the mood is better than the results are I have got to say. So we've got a lot of work to do and I'm not going to spend a lot of time I'm looking forward to the time where I can report positives on BeautiControl.
 : So last year we closed that small Nutrimetics UK business, the Greek business, which were single digit businesses and we made a decision also in the first quarter and we took the action to shutdown this Armand Dupree business that was only running in Mexico, was a very small business but it was distracting. At anyway let me make a couple of other comments before I turn it over to Mike. I want to update you I talked about a strategic initiative at our last earnings where we brought together some of our really high pot individuals with a whole objective of what do we need to do to move this company to the next level and for us we said that stick in the ground was $5 billion and sales and so we brought together starting in the fourth quarter this revenue generation team that was really 20 of our high pot people but we've got many high potential people. We wanted to be representative of different functional areas, different areas of the world, and this is a group that kind of 35-years-old to 45-years-old, they represent the future. And so well we met again this quarter each time we met it's for about four days and we dig deep and I want to give you kind of some of the inputs or outputs of that as a result of this time together. First thing we believe very strongly that Tupperware brands have significant runway with minor modifications to our current business model to get this company to $5 billion. And most of this growth will come from a combination of geographic penetration and expansion in markets where we now have beachheads, plus and importantly enhancing the effectiveness in expanding our sales force numbers and their productivity and success and specifically under the act, we basically have an attitude that there is not an inexhaustible supply of recruits in the world and they need to be treated as a precious resource. So we're focusing on four things. Firstly, on recruiting more effective and targeted recruiting. Secondly, onboarding new recruits with better support and really utilizing the technology that's available now from the digital age. I might tell you what we've learned from doing very much like a Rosetta Stone iTUP program in Germany, dramatic impact when can attend face-to-face training plus she's got online support for training we see what happens for average number of parties that she hold goes up, the average party is bigger and the retention level is dramatically increased. We're refining that and we're going to be rolling that out. So that's the onboarding. Third, the activation level, we're working on ways and we're experimenting with how do activate somebody sooner and get her activated we call it kind of take you by the hand activation and hold that first party. And finally, retention, we're really starting to set targets with regarding not only recruiting goals each year but really starting to begin to recognize and reward through retention techniques and we know the importance of retention. They're three things that really drive retention in our business; contact. And that means getting together on a regular basis. Competition, we know even the spirit of friendly competition it gets people operating at higher levels. And recognition, a lot of people come into our business for initially for income but so many stay through recognition and relationships. Anyway, we're going to be working to refine these but we've got the best and the brightest working on this. Final thought before I turn it over to Mike, and then Keith, we started more than a dozen years ago. I started doing retreats around the world. We started with 25 people at the time and we basically talked about it being managing director or CEO training. We have relaunched this with a whole group of new people. We just held our first one in outside of Milan. And we're going to be doing three more this year where it's just me on a stool in center of the room; they've got all kinds of prereads. So think of it as an advance management program in our industry and at the end of the day they present to us what does it take to get this company to get to $5 billion, what would they do if they were CEO. And I might say what's important about this is we rarely ever have to recruit leadership from the outside. We get people into our business, we develop them, we move them around different functional areas and even different countries and then we launch them into the business. And it's been one of the keys to our success of this consistent growth over the last decade. And in the next four or five years that I'm here most of Simon's time is on day-to-day operations of the business, mine is on strategy and developing the next levels of leaders who will run this company. With that, I will turn it over to Mike.
Mike Poteshman: Okay, thank you, Rick. You saw in our release and Rick also highlighted that we came in on sales at up 7% in the quarter in local currency. And that was the high-end of our range. Our biggest contributor to the increase was Venezuela, which gave us three points versus last year and two points of an upside versus what was in the high-end of our outlook. So putting aside the upside versus our outlook from this unit, which clearly is a strange case right now we would have been at the low end of our sales range. The other larger contributors to our increase versus 2013 were Brazil, China, and Indonesia. Our only unit with a dollar decrease in the same range is a large positive contributor was Fuller Mexico. Versus the high-end of our guidance in addition to Venezuela, the notable units included China on the positive side, and Malaysia, Singapore and Tupperware Mexico on the minor side. In the case of Mexico, a portion of this came from lower than expected B2B sale. And Rick has walked with the main drivers and issues associated with our performance and the units that moved us most significantly versus last year and our outlook. Looking at Slide 9, our diluted EPS without items at $1.31 per share was $0.13 above the high-end of our range. The foreign exchange rate impact on the year-over-year comparison is negative $0.12 was $0.02 better than the minus $0.14 that was in the outlook when we gave it January. Our higher than forecast sales in Venezuela and a good return on sales there which reflected price increases and there wasn't necessarily to spend heavily promotionally to make the sales gave us another $0.07 of our upside versus the high-end of our guidance. Our other units gave us the remaining $0.04 upside with the better than expected drop through from sales mainly reflecting lower than foreseen supply chain cost in Europe and good value chain management in China. Our tax rate without items at 25% was 1.1 points above last year or a $0.02 drag versus 2013 but in line with our forecast. From an analytical point of view, again thinking through the Venezuela impact, while we had the big $0.07 upside versus our outlook from that unit, putting that in the better FX aside we still would have been $0.04 above the high-end of our EPS range with sales at plus 5%, the bottom of our range. Versus last year, on Slide 10, you'll see that our diluted earnings per share without items was up 11% in dollars and 24% in local currency. Turning to Slide 11, we had a good improvement in our operating margin which at 15.2% was up 120 basis points in dollars even after 50 basis point drag from translation FX. All of our segments performed well in terms of the drop through of profit on sales but particularly so in Europe from the lower supply chain cost I just mentioned and in Tupperware North American from improved gross margin and promotional spending management. As well, in Asia, we overcame an accrual throughout benefit last year with a good result in China. Our pre-tax ROS without items was up 70 basis points versus last year in dollars and a 130 basis points in local currency after the 50 basis point drag from higher interest, mainly from the termed out senior notes that we filled last March. Lower diluted shares outstanding contributed 7 percentage points of our EPS increase. Turning now to our cash flow. We had a $29 million outflow from operating and investing activities. This compared with positive $5 million in last year's first quarter, which included a $9 million inflow associated with our sale of senior note, and a timing related hit from cash taxes versus last year. In terms of comparison, 2012s first quarter was more normal and we had an outflow of $43 million, so even more than this year. Looking forward on Slide 12, we have not changed our full year outlook for cash flow from operating activities, net of investing activities, which is to be in the range of $250 million to $260 million. Versus our January guidance, we've raised our net income without items by $8.5 million. But there is a partial offset from the cash impact of the devaluation of inventory in Venezuela on the March balance sheet that will sell at the weaker rate in the second and third quarters. We are also raising our guidance for capital spending from about $70 million in January for the year to now about $75 million, reflecting some spending in Venezuela that in a way is ahead against the currency by owning more tangible assets. As far as shares go, we made the planned $10 million of open market repurchases in the first quarter. We have included in our outlook a similar amount in the second quarter and have continued to include a $185 million for the full year, heavily weighted to the fourth quarter. What is highlighting is that in setting the $185 million of repurchases in January we considered the impact on our EBITDA of a possible devaluation in Venezuela, which is why what has now happened there isn't -- hasn't impacted our repurchase expectations for 2014. As part of this while the balance sheet related devaluation hits the $13 million pre-tax in the first quarter and the $6 million were recording cost of sales in the second and third quarters will impact our EBITDA as it is calculated under our debt covenants for purposes of our 1.75x EBITDA leverage target. We are putting this aside in coming up with the repurchase plan since it will roll off after one year. This item is the main reason why our leverage is laid out in the last press release attachment page, shows our position for the most recent four quarters at 1.93x, a bit above our target. Turning now to our outlook. On Slide 13, you've seen in our release that we've gone with a 5% to 7% local currency sales increased range for the second quarter and full year. Versus the first quarter results at the high-end, we expect to do better in Asia and Beauty North America and that will be balanced by Venezuela coming down to a more normal level of local currency growth and accounting for a lower share of total sales due to the weaker exchange rate. On diluted earnings per share without items for the second quarter, we have a range of a $1.44 to $1.49. This is versus $1.46 in 2013, but includes $0.13 drag on the comparison from weaker foreign exchange rate, including the 42% devaluation in Venezuela. As a result at the high-end of our range, we would be up 12% in local currency and 2% in dollars. Looking at Slide 14, as you've seen for the full year we have increased the high and low end of our range by $0.15 to $5.66 to $5.81. The $0.15 include the $0.13 by which we meet the high-end of our first quarter guidance, along with the $0.04 better picture on foreign exchange for the second through fourth quarter versus what was in our January outlook. On the right side of the slide you will see that in January for the full year we had a $0.44 negative impact on the comparison with 2013 and for the full year that now stands at minus $0.38. Well versus our January guidance movements in currencies other than in Venezuelan Bolivar was an $0.18 benefit. This was partially offset by a $0.12 hit from the weaker Venezuelan rate on our operating activities for the last three quarters of 2014. There is also a negative $0.02 impact on the new outlook range from assuming a couple hundred thousand more diluted shares than in January. On Slide 15, you will see at the high-end of our range, this would give us a full year increase in EPS of 7% in dollars and 15% in local currency. Turning to Slide 16. Underneath this, at the high-end of our range, our 2014 improvement in operating margin is about 50 basis points in dollars and 90 basis points in local currency. Well after a higher interest expense, our pre-tax ROS improvement shows at about 25 basis points in dollars and 70 basis points in local currency. In our January guidance, we had no improvement versus 2013 in our full year pre-tax ROS. The 25 basis points by which our outlook is now improved, comes about 6 basis points from less translation FX impact with the rest from our segments. In the first quarter we were about 100 basis points better than in our outlook on segment profit ROS. Some of this was coming from Venezuela. We haven't assumed significant differences in our segment profit ROS for the second through fourth quarters versus what we had in our outlook in January. Our full year outlook on allocated corporate expenses is now about $62 million versus $67 million in our guidance in January, which mainly reflects cost savings initiatives, and net interest expense is now about $46 million versus $40 million to $41 million in January, mainly reflecting more cash flow hedges with their associated interest cost and to a lesser extent high average borrowings. The benefit included in our EPS outlet from lower shares if 4 percentage points to 5 percentage points. On a segment basis for sales we now foresee up or down slightly in Europe and Tupperware North America in local currency of high single to low double digits in Asia, down high single digits in Beauty North America and up close to 30% in South America. On segment profit return on sales, we foresee slight improvements in Europe and Asia being up about 1 point in Tupperware North America and South America and a decrease of a couple of points in Beauty North America. And finally, on resin, in the first quarter of 2014 we had a negative impact in cost of sales from higher costs of $4 million. Our current expectation for the full year is that we will have about $190 million run through our cost of sales and then in constant currency it will cost us about $12.5 million more than it would have in 2013. And this is up a couple of million dollars from where we were in January. So with that I will turn the call back over to Rick.
Rick Goings: Thank you, Michael. Hey, I got a note that thank you Teresa that I misspoke when I was talking about this little Armand Dupree business we have it in Mexico and we had an idea in 2009, let's launch a small beauty business utilizing that our Armand Dupree brand that we sell in Mexico utilizing leveraging the large Mexican population in California. We got early on good friends with that but we just made a decision this last year and that it just wasn't worth the incremental effort when we have so many significant population markets in the world where the opportunity for us to grow is much better. So that's what we closed in the quarter. Obviously in our Mexican business Armand Dupree is our premier line and really removing more of our skin care business and the fragrance business to the Armand Dupree line and if somebody looks at our brochures as you see the Armand Dupree name on the cover it's a sub brand getting bigger and bigger. So we are really shifting away from fuller and more to Armand Dupree and we really like the way that brand is developing. But if you were going to start a beauty business from scratch and you were to think about geography you wouldn't open it in Western Europe and you wouldn't open in the U.S. simply too many difficult externals to start from scratch and I don't know why we didn't realize that talking myself early on. Keith I want to turn it over to our VP really of Supply Chain to begin to speak. By the way I'm sitting here with Yolanda Londono. Yolanda is in-charge of our global citizenship initiatives. She is a senior officer and originally from Columbia and all I can tell you is when you hear from Keith, I understand Yolanda, who is from Columbia originally better than Keith, who is from Rhode Island. So Keith I hope they get it.
Keith Haggerty: Okay. Thank you, Rick. Good morning everybody. Importantly over the past 20 years we have evolved from a manufacturing company to a supply chain organization that provides products and services to our sales organization. And I like to turn to Slide 18, you can see the map. The blue dots represent our Tupperware manufacturing facilities. The red dots are our beauty facilities and 50% of our products are manufactured at these locations. Now this supply chain really provides us with a competitive advantage in five areas. First and foremost quality, which is a cornerstone of our Tupperware brand. Flexibility to respond to the needs of our market rapidly. Costs, we always strive to develop manufacture source and distribute products at a cost effective way. Fourth is customer service is very important to us, we strive to have perfect customer service, we typically average 98% or higher on our order fulfill time to deliver our products on time. It is really critical to our sale force within building momentum within all of their businesses around the world. And then, finally, development innovative products, where we use highest quality materials. For example we inject LCP, which is a liquid crystal polymer, in France for our Ultra Pro line, which is intended for use in ovens. Turning on to Slide 19, strategically we manufacture products where we have a technical advantage and then also we select and source products from partners who provide us with an expertise that we mainly don't have or we don't care who invest in. And in some of these expertise we ultimately bring in-source. It's a product that would give us an advantage in cost, quality, and flexibility, and recently we decided to mold eco bottles in Asia Pacific and France where initially this product line was outsourced. We have 40% of our products that are manufactured by third-party source suppliers. We have six strategic suppliers.
Rick Goings: Keith? Okay. He will probably come back on in a minute, but until they do I guess we can turn it over Tony to Q&A. Tony?
Operator: (Operator Instructions). And your first question comes from the line of Jason Gere from KeyBanc.
Jason Gere - KeyBanc: This is really a question for you, hey, Mike. I guess it's for you until Rick gets back on. But I guess the first question, obviously 2014 is shaping up to be a year of a lot of volatility with Venezuela and the pricing, the weather, the political stuff out there and it's good to see you guys obviously delivering within that 5% to 7%. I guess as you think about the business longer-term, when you look at Asia Pacific and South America and the growth you're seeing in the law of large numbers come in, can you talk and I think Rick has kind of publicly stated he wants emerging markets to be 80% sales or some number along those way. So I was wondering if you could just talk about how you see kind of keeping that 5% to 7% growth intact. Is it more about the geographic expansion, the growth of the middle income consumer? Is it more about productivity? And then just within that, how big is India to kind of play into those endeavors?
Mike Poteshman: Sure. Well, as we look at things going forward and as we talked about there is a huge population size among the emerging markets that we have only begun to tap. So we have seen this great growth in Indonesia, the fourth largest population country in the world. India, you mentioned is not one of our units that had more than a 100 million sales nor was China in 2013. So these are all places where we're continuing to build our system in and of itself but then there is also the good growth dynamics in terms of GDP in general and GDP per capita all of which will play into our premium position product line. So that's how terrific and then of course in emerging markets the earning opportunity we can offer is outstanding. It's very good in the established market units, but even more so in the emerging markets and together with what will be a slowly evolving retail and the structure in those regions, we think we have a long way to go. So when we look at it longer-term, meaning in 2015 forward we talk about being in around the 10% growth in the emerging markets we were up 14% in the first quarter and just the low single in the established markets and yes we were down 4% in the first quarter. So we really see to your point of large number, some moderation in the emerging markets not because they won't have a lot of incremental sales, but because the base does get larger overtime. At the same time we're very much of an ad business and we can succeed and do in many established markets and we were looking to execute and find ways to drive more consistent growth among the established markets we think we will be able to do that, but given historical trends and so on, we only call it a low-single-digit in that 2015 and forward guidance. So that's really how we look at it.
Jason Gere - KeyBanc: And then just with the pricing in Venezuela, what -- I think you were saying that it would the contribution would lessen as the year goes on. Can you just kind of elaborate a little on that? And is there any risk that the pricing that you're getting doesn't stick and you have to kind of reverse that or can you just may be provide a little more color on that since it's a pretty big contributor to your organic sales for this year?
Mike Poteshman: Sure, the reason that it will or one big reason why it will contribute less going forward is not so much the dynamics in the country is much as now they were using a currency that's worth 42% less they're getting reported at 42% lower. Those local currency increases just don't from a mix point of view contribute as much. So the price increases that we've put in certainly have stuck. We had a good ROS in the first quarter there and in regardless of what the currency is translated as they operate in Bolivars, right. So we had a good ROS there because people wanted to buy tangible products they wanted our products, we support the sales force and have a good sales force size there, and we also didn't have to do as much promotionally. So that sort of thing probably will continue but the share of the business is just smaller because now it's 42% less from the currency versus what it otherwise would have been that old rate. So that's really what we're talking about. We mentioned that for the segment that we grew it was 22% in the first quarter in local currency without Venezuela. And so we don't expect to have this 47% growth that we had for the segment overall in the first quarter because of the exchange rate, but we still expect to do very well and that's why the guidance is to be up about 30% for the full year in South America.
Jason Gere - KeyBanc: That's great. And then the other question I have and obviously it's one that everybody comes back to but if you look at BeautiControl and you look at Fuller Mexico, from an operating profit standpoint, I mean the contribution looks like it's going to be $10 million, $11 million this year. The sales are still negative but they're trending in the right way. And I know you're ceasing the operations of Armand Dupree. I guess at what point do you kind of think bigger about this business strategically. Is it worth all the time and effort for such a small contribution to the overall pie and clearly $11 million hopefully would be kind of trough profitability. But I was just wondering if you could may be provide a little bit more color on that?
Mike Poteshman: Sure. Well we are really -- we see a lot of opportunity in this businesses and really we're working to turn the sales force size numbers because that will be the pre-curse that is being able to grow the business. We did in Fuller Mexico improve in the sales force size comparison sequentially in the first versus fourth quarter by 3 points, it's still down 9. And we are also a bit better in sales is down 9 versus down 11 in the fourth quarter. So it's a little bit slowly but surely. And when we look at the field manager force who the people would do the recruiting, we are also starting to see sequentially a little bit of a better story but it clearly is not where it should be. But we're feeling better about things as we move forward. And Fuller Mexico is one of the reasons or one of the ways that we see being in the 5% to 7% range in the second quarter where without the big Venezuela upside we were at the low-end of our range in the first quarter, so that Fuller Mexico is one of the places. In BeautiControl, we have a new leader in there as of towards the end of last year, who is just from a qualitative point of view much better engaged with the top end of our sales force. And we think running things in a way that is going to have everybody on board and on the same wave length and there too we expect to see better sales force size comparison. Certainly, we didn't see much of better situation in the first quarter. But as Rick mentioned in the prepared remarks, we did have a very high cost and effective in terms of brining in numbers recruiting trip campaign in the first quarter last year that ultimately we didn't find to be effective among the sales force that we brought in. So we were less aggressive this year we think prudently and we should see the benefits of that as we move forward. So we see --
Rick Goings: Mike we're back on the line. We have no idea what time -- when we cut off.
Mike Poteshman: Okay. Well, we -- Rick, we just moved into the Q&A, if that's okay.
Rick Goings: Yes.
Mike Poteshman: So Jason, we see opportunity in both those businesses in Beauty North America and we're looking to capture it starting with the sales force.
Jason Gere - KeyBanc: Okay great. Thanks Mike, and hey, Rick.
Rick Goings: Hi, Jason. How are you?
Jason Gere - KeyBanc: Good.
Operator: Your next question comes from the line of Olivia Tong from Bank of America.
Olivia Tong - Bank of America: Thank you. Appreciate it. That was a nice size beat on both the top and bottom line this quarter. But as you mentioned you would have come in at the bottom end of the sales range if not for Venezuela. So at least for the very near term can you talk about the sustainability of sales growth going forward particularly as the comp gets 2 points more difficult in Q2? Especially as you know some of the things you plan on changing, changing some of your plans around North America and things like that which sound like it might require a step back before stepping forward?
Rick Goings: Olivia, hi, Rick.
Olivia Tong - Bank of America: Hi.
Rick Goings: I will answer part A of that and have Mike give you backup, you got more of the data there listening Mike and -- we had a number of the markets that were really the drag and you really do see the CIS that very significant down number in the first quarter, the India number, the U.S. number. Our hope we're still sticking on our full year numbers here and I think you're going to see some improvement in some of these others. I'm more confident probably on India than I'm CIS there. I know we are doing the right kinds of things in our North American business. So I think when you take away some of those that have really been hurting that top-line, we haven't made any decision to do anything but stay committed to the numbers that we have this year. So this would have been the perfect time if we had any feeling. And we have -- in a number of our markets we have three, in some cases five weeks outlook going forward. I take a market like Germany and we can see with probably 80% certainty what's in the sales force books with regard to parties up and we know what the average party is. And so here we are toward the end of April, and we're looking even into mid-May. And so that's why I normally Olivia, if we didn't have some kind of confidence in that we would have changed our numbers on it. Mike would you add?
Mike Poteshman: That's right. As we look at the full year, places like CIS, the comparisons get much easier later in the year. India is the same way. Couple other markets that Rick mentioned. In the near term, just looking at the second quarter, I mentioned in the last -- response to the last question, the Fuller Mexico is one of the places where we expect sequential improvement. Two of the other bigger ones, second quarter versus first quarter are Malaysia and Tupperware France.
Olivia Tong - Bank of America: And then just a follow-up on that. Can you provide some detail on what changes you're actually planning to make over the next several years in North America to drive that improvement in sales? Do you think there needs to be a bigger restructuring program for example and what kind of improvement should we expect to see as a result?
Rick Goings: Olivia, I'm not at all thinking of a restructuring in the U.S. But when I talk about the -- I would call it a collateral impact of some of the changes we made in the U.S. business, there's really three primary areas that I'm seeing that unintendedly bonuses, the business moved more from a weekly business to a monthly business because that's what bonuses were paid off of, monthly, and a lot of the promotions were monthly. That, if I was sitting here grading papers, mistake. You don't do that. The rhythm of a week, one of the keys of success of this company for so many years is there's an assembly on Mondays and we meet every week. I always kidded you and I when we've been together. We talked about the subject, you take all the religions of the world and I don't care what the belief system is, they either meet Friday, Saturday, or Sunday, and they meet weekly. So we've got to weigh the rhythm. We've got to get that back. And what that next place. We really as we move to this new model, a lot of our former distributors moved out of their locations so there wasn't a place to get together. And that's where you do contact competition and recognition out there. So well I'm not even going to get into the third. Those are the two primary things that we need to work on and it's a question of how do we make that kind of a shift. I don't see it as a restructuring but it is a head turn for some of our people because it is requisite in our business that it be weekly, that there be a place that they meet in the business. Oh, the final thing I will mention, there's was more when they got away from place slippage in the percentage of the business that was party, business which was actual -- rather than doing one-on-one selling, the actual holding of a party. I'll give you an example of how well l that works when it's done right. Our business in Belgium, the average party size is US$900 and Belgium, particularly the French section of Belgium, isn't that wealthy. I mean that's the highest party average we have in the world. Most of Europe its $400. Well, when she makes 30% commission, so she can make $300 a party, start to think of what she makes when she does three parties a week. I mean she makes $50,000 a year. So when you get away from the party you corrupt the earning opportunity. So when you say weekly place and party, those are the three areas where we've had collateral slippage when we went to the new kind of structure program. So you don't have to go do a restructuring program but it's a head turn and you start saying this is the way we're going to run the business here. I might add this is the key to the success of our Indonesian business. You would think meaning predominant (ph) the Indonesian team were Swiss or German because typical distributor has five meetings a week. Training is done this way. Recognition is done this way. The husband is involved in the business and you will sell via a party. It's our core method and I would say the key to our business is a model and the key to growing it is a replicateable model. I've often said the typical restaurant goes broke in five years. You rarely ever see a McDonald's close. They have a formula. I mean they say in the old days when we didn't have cell phones; you never saw a public phone in a McDonald's or a game machine. Why? It encourages loitering. So every time they had a reason why they did this, it was for intended consequences. And Olivia, my fingerprints were all over the change on this model in the U.S. missed it. Boy, you don't drown when you fall on the water; you drown when you stay there. So we're going to fix it. But that's going to be the focus and it could be a little lumpy. Forgive the long answer.
Olivia Tong - Bank of America: Just one last thing question, can you break out the sales impact volume versus price for the quarter and what you expect for the full year. Thanks.
Rick Goings: Mike?
Mike Poteshman: Sure, Olivia when we look at it including because of the big impact from price in South America closed all of our increase net-net were coming from price. When we look at it though market by market there is quite a few businesses as you would expect that had very good volume, those included in the growth, plus that includes Indonesia, Brazil actually Venezuela had good volume growth as well. Obviously, there were some others that offset and we talked about Fuller Mexico, Tupperware U.S. and Canada and a couple of others. When we look at it, we realize that of course while we place in line with consumer inflation, often times wage and salary increases can lag and so while we get the sales, because of the price increases we're probably taking some more of an impact on volume from the price increases, if intern things are when they settle down and the prices are going up in a more normal rate for a couple of quarters, then we will likely get more volume but then we won't have as much price. So in that sense we would expect the picture to be sustainable. We don't really forecast per se price versus volume going out but we expect all of our units to be growing volume clearly that's a big part of why we're here. The other thing I would just point out is that from a contribution margin and a profitability point of view you might expect that if you're getting your sales through price increases, and your pricing in line with consumer inflation, is your cost structure would also be going up somewhere around the same way and as you wouldn't be able to get incremental profitability to your ROS, but we were able to do that in the first quarter. So we are pleased that we're running our product mixes and so on in a way that it all fits together and works for our business and we think we will obviously make that 5% to 7% for the full year.
Olivia Tong - Bank of America: And just one last thing on Venezuela. Would you expect volume increase in Q2 to Q4 for the rest of the year?
Rick Goings: We're actually not going for significant volume including because of just the way the situation is we're being able to access funds and so on. So we're actually started in April allocating the volume available in the business to the distributors so that we wouldn't be in a position of having to put more hard currency into the country.
Mike Poteshman:
, : So I'm hoping we get some nominal increases in Venezuela above pricing and I was pleased that Mike and the team were able to negotiate to some dollars, so that we could in fact invest in some more raw materials to keep our production facilities going there, but the guys have had a lot of experience dealing with these kinds of environment, never fun but we generally learn how to navigate through it, because most everyone that's dealing with this are locals and so they understand their local economy.
Operator: Your next question comes from the line Mike Swartz from SunTrust.
Mitch Van Zelfden - SunTrust: Hey guys it's actually Mitch in for Mike. Just looking at France and Germany in more detail, can you comment on your overall level of visibility in those markets?
Rick Goings: Yes, those two markets probably have, Mitch, our most sophisticated trending systems in the world where we're connected to distributorships and we see what's -- a salesperson or a sales consultant there has what's called a date book and we can look into their date books and so that in a typical distributorship there will be 20 distributors assigned to a regional sales manager. A regional sales manager, structures part of the answer here. A regional sales manager will have these 20 distributors. The regional works for the Company and we look out into those distributorships for what's the party lineup next week, the week after, the week after that and in Germany as a matter of fact it goes out five weeks. And parties are usually a traditional size. So you can sit there and say okay, I understand what the parties are up. I understand our normal cancellation rate, the size of the party, here's what the business looks like. If you get three -- week three out and you see wait, we don't have enough parties up at $400 a party, you need to date more parties. You can then drop in some kind of a promotional shift to get it up in that. So you always have these levers at your disposal. And I really do believe that those are a couple of our businesses that are the best at these levers. So that gives us a lot of visibility. Now, sometimes you drop something in and it still doesn't work like what they had in France, the hostess gift didn't work and what they put in didn't work. So we missed an element. But it doesn't happen often.
Mitch Van Zelfden - SunTrust: Okay. And then shifting gears back to the four businesses, seems like you're pleased with the overall progress you're making there, but can you comment on the competitive environment had its strengthened since the fourth quarter?
Rick Goings: I think it's continued I was there last time it's continued about the same, I mean absolutely crazy levels of discounting particularly by the large beauty companies which starts with an A. And we're not responding to that. It -- what it does is it dissipates the earning opportunity when you get into that of both the sales force and we do know the impact on us, near term is that at sometimes you will have 50% of the sales force which will always will carry their brochure and they will go show whatever is best deal of the month and it makes -- because it's more a channel there than a brand and over the short-term that hurts. Long-term, I think this competitive approach that they have is absolutely unsustainable out there and I will tell you what we're going to the way to win there is with our Armand Dupree take them consumers, women in general all over the world are much more dedicated and -- to her skin care brand and her fragrance brand. And so how you win her over skincare and fragrance and you don't play the game so much with lipid nail, which are basically go to most women around the worlds that drawer in the -- I know it exist which suits into our house and you find different and if it's by price and palette, lipid nail. So it's messy. I got to say what I love about what our guys are doing there, is we're trying to grow with the growing middle class, a shift to more professional sales management. If I was to say Mitch, the biggest issue we had with our business there, high turnover of field sales managers and we believe they were fishing in the wrong pool. We had almost no turnover of field sales managers when we recruited her from the ranks of our fuller business. So I basically, put a stick in the ground and I say no more recruiting people from the outside of the field sales managers. Your bias has got to be inside. Even if takes longer, we're not going to get the turnover of the field sales managers. Have one of our best management teams in the world there Luis Victoria and his team. Mood is great there. We have great relations with the government. So I feel good about the Fuller business. And we still will make a lot of money with Fuller. I want to see it back up in the area north of 20%, ROS level Mitch.
Mitch Van Zelfden - SunTrust: Okay. And last one, if I may. I'm sorry if I missed this earlier. But Mike, could you quantify the impact that Venezuela price inflation impact has on the 2014 sales guidance?
Mike Poteshman: Well, in the first quarter, the pricing impact in South America was in the 60% range and a heavy piece of that was Venezuela. We haven't talked about our pricing in Venezuela individually.
Operator: Your next question comes from the line of Connie Maneaty from BMO Capital Market.
Connie Maneaty - BMO Capital Markets: In Venezuela, there is supposed to be a 30% cap on profit margin. So with the price increases you've taken, are you at that limit or do you think you still have a little bit more flexibility?
Mike Poteshman: Connie, we understand that rule to be on, a) on a statutory basis and b) on net income return on sales. And so we are well within that rule.
Operator: And tour next question comes from the line of Sofya Tsinis from JPMorgan.
Sofya Tsinis - JPMorgan: So on the Malaysia, Singapore business throughout the quarter; I wanted to understand whether you think that will return back to double-digit growth during this year, just turn positive for the year, and how the rep growth is actually trending there? Thanks.
Mike Poteshman: Sofya, I think your mike wasn't on for the beginning of the question. Could you say it again?
Sofya Tsinis - JPMorgan: Sure. Just wanted to understand what level of improvement you saw in Malaysia and Singapore throughout the quarter and whether for the year you're expected to return to double-digit growth like we've seen previously? And how the rep count trended throughout the quarter?
Mike Poteshman: Sure. The rep comparison is quite good in Malaysia but we also need to have a better focus or get better results on activity there. And so we're in a strong position in terms of the total seller comparison versus last year. I would say that within our guidance, yes, we would expect to be in double-digits in Malaysia but we will have to see after being down in the first quarter. I mentioned one of the other Q&A's that we do expect a big sequential improvement starting in the second quarter.
Sofya Tsinis - JPMorgan: Okay. And just my other question, you said that some of the earnings upside during the quarter was driven lower supply chain cost. I wanted to understand is there an increased focus in general on profitability just given that some of the sales growth you're seeing in traditionally stronger market have decelerated it recently?
Mike Poteshman: Well I would say yes. It's more in light of some of the cost pressures including because of transaction FX and buying things across borders that we've undergone a thorough process of looking where can we be more focused on our spending and it can turn into just the timing that we have things that would be good to do but we see how things are going and then where we can afford to make these sorts of investments that might pay off more in the intermediate term then we go ahead and do them. And we saw some of that come through in the first quarter. We mentioned that we were better than expected in our unallocated corporate expense and some of that had to do with what we were doing on spending. And certainly that came through; that's an endeavor that goes all the way through all of our units to have a look at what we can do.
Operator: Your next question comes from the line of Frank Camma from Sidoti. Your line is open.
Frank Camma - Sidoti: Just a quick follow-up question from your prepared comments. On the expenses that were just mentioned the supply chain expenses, are those sustainable? And could you just clarify, you said Europe and China, was there somewhere else?
Mike Poteshman: The supply chain upside versus what we expected was in Europe. In China, it was more a fixed cost leverage and selling -- continued to do a good job at selling products that are at pretty high price points. So we did roll through those benefits in Europe to the full year; we didn't necessarily build in additional incremental upside to what we were already expecting. So we've done a good job there. You've seen that we had a small sales increase, and so we benefited from having a little bit more volume through the plant but we haven't assumed a big incremental upside as we go through the whole year.
Operator: And your final question comes from the line of Gregg Hillman from First Wilshire Securities Management.
Gregg Hillman - First Wilshire Securities Management: As what percentage of food storage is overall sales and how that compares in the emerging markets versus established markets?
Rick Goings: Yes, very clearly food, when 20 years ago, food storage was the entire company, it was 90% of sales. Now here it's less than a third of sales. However, what happens in an emerging market, it will be a higher percentage of sales. She generally comes into the business. So let's take a market like an Indonesia and the two categories show focus on initially would be food storage and survey. That's kind of the main end because the serving products usually at the same time they will help it not only just pure serving but it will help from the ambient environment protect the food from insects, heat, or cold. So they work like hand in glove food storage. But what we see is within emerging markets you see an urbanization going on. So we will go straight back in Indonesia, you go to Jakarta and the closer you get to the cities the more highly educated our sales force is. As a matter of fact, our most recent study showed that about 40% of those who were part of a study we did had some college. And she then is more interested in migrating toward products that would be hot sellers in Germany. We have a product called a QuickChef, which is a food processor. She will do that. She's more likely to have microwave products. So what we've learned to do even in India we will have combos, modified product lines within a country to bifurcate those different segments. And this is why every country has a Head of Marketing and in it every regional area of the world has a Head of Marketing. For Asia Pacific that's in Singapore but which -- I was just in Italy with their Head of Marketing for Indonesia and she's very much in tune so their distributors will in fact modify their product line based on the consumers in that. But that's an important question and almost if you shift -- I've used the example of Apple how in '96 when Steve came back it was all either laptops or desktops and then the migration now like a hub in spokes to iPods, iTunes, iPhones, iPads, Apple TV products and accessories there you're left within a typical $36 billion quarter $4 billion to $5 billion will be computers. Now you're going to see that same thing continue with us. Something what's interesting too is the shift in our product line as I travel around the world we're moving more from food storage to as women get more sophisticated, more urbanization, to more expensive and more effective products for us to demonstrate. As I used the example 20 years ago in France you had a typical Tupperware product there was $10 to $15; now our best selling products there are in U.S. dollars $100 to $150. Now what does that mean? It means lower units but she makes more bang for the buck. She does a party and five other women buy €150 product, this was -- it makes it a better full time job for her. So it goes hand in glove and we really manage it like categories. Again, sorry for the long answer but a very strategic question.
Gregg Hillman - First Wilshire Securities Management: And then finally, Rick, in terms of the United States and I guess emerging markets in general what can you do to get people to cook more at home in terms of aligning yourself with other groups I guess in the health area to promote energy and weight loss, for example, like the Daniel plan?
Rick Goings: Yes.
Gregg Hillman - First Wilshire Securities Management: I guess my question might be a little bit confusing but I think but somebody is going to the grocery market and doing like frozen food, its less healthy than cooking your food at home, and what can you do in the United States to get more people to cook at home?
Rick Goings: Well what we're seeing is when people see value for money and they -- biggest thing particularly with more than 60% of them working she's looking for really great food that doesn't take a lot of effort. And that's where I would tell you the product that's been just a blow away success has been our Microsteamer in the U.S., which really coverts a microwave oven into a steam oven and all I have to do is take somebody and put in -- I did this is with Colin Powell at his house you take and you put broccoli in the bottom, you put salmon on the top, a little CheriYaki sauce, put it in the microwave for 13 seconds, no microwaves ever touch that food it is as healthy and low calorie a meal as you can get. And she can go sit in the other room and play with the kids and have a glass of wine or none of the above. That's you're seeing us move more toward, that was the last point Keith made, differentiated products.
Keith Haggerty: Yes, and Gregg, that's a message we bring forward through our sales force because we're proponents of exactly what you're talking about through the 2.9 million people.
Gregg Hillman - First Wilshire Securities Management: Do your cook -- I think your cook books promote healthy recipes and what not too.
Rick Goings: Oh absolutely.
Keith Haggerty: Yes.
Rick Goings: But that's healthy recipes are something we make available but it's on a self-selection basis. You're living in the land of, and here in Mexico, obesity, okay? And we present cook books and people self select. Tony, that's it?
Operator: That is all the questions, sir.
Rick Goings: Okay, one final thing, I don't know when I was cut off though, I was thanking Keith. I'm in here in this facility and we said we've got what 17, Keith, around the world. We had as many when I joined the company and the shift is that many of these are now newer facilities. Now we closed one but we were not in the interest of building factories around the world which is one of the reasons we've been able to increase our share buyback and to keep increasing the dividend because the company has tripled the size now and we've had just a modest increase in our CapEx and that's been the intentional learning from the Nike model. This facility I'm at also that I want to comment on because we don't really beat our chest about how good our people on supply chain are but I'm in a facility that is the equivalent in size in rural South Carolina to 22 football fields. We are the only really place for people to work here. By the way, I was there yesterday at the boys and girls clubs which we opened here and it's the only place for kids to go during spring break and it was packed. But when I first visited this facility there were 1200 people working here and we did about one-fourth to one-fifth the volume we're doing today. Today we only need about 250 people to do four to five times the volume which has kept our efficiency so much in line. And if you walk through this place its Austrian Ingle machines; you will think it's a pharmaceutical facility. And you when you walked in to the room to see the people working on our molds which can be a million dollars each you would be thinking they're making o rings for a space shovel that work. I mean it is we can be guilty of over-engineering our products but that's why people love the brand. Our seals are class one seals and our products are guaranteed for life. So I think we are on track for a decent year this year. In spite of all the things that are going on our guys are navigating through it and we thank you very much for your interest in this really the strategic level of questions that we got today, very impressive. So we're doing more than filling out a spreadsheet on the quarter. We have more and more analysts that follow us that really are strategically engaged in evaluating and understanding our business, and you'll appreciate it. Thank you.